Operator: Greetings. Welcome to the E2open Parent Holdings, Inc. third quarter fiscal year 2025 earnings call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. Please note this conference is being recorded. I will now turn the conference over to your host, Russell Johnson, Senior Vice President, Treasurer, and Head of Investor Relations. You may begin.
Russell Johnson: Good afternoon, everyone, and welcome to the E2open Parent Holdings, Inc. third quarter 2025 Earnings Conference Call. Today's call will include recorded comments from our Chief Executive Officer, Andrew Appel, our Chief Commercial Officer, Greg Randolph, and our Chief Financial Officer, Marje Armstrong. Following these comments, we will open the call for a live Q&A session. A replay and transcript of this call will be available on the company's Investor Relations website at investors.e2open.com. Information to access this replay is listed in today's press release, which is also available on our Investor Relations website. Before we begin, I would like to remind everyone that during today's call, we will be making forward-looking statements regarding future events and financial performance, including guidance for our fiscal fourth quarter and full year 2025. These forward-looking statements are subject to known and unknown risks and uncertainties. E2open Parent Holdings, Inc. cautions that these statements are not guarantees of future performance. We encourage you to review our most recent reports, including our 10-K, or any applicable amendments, for a complete discussion of these factors and other risks that may affect our future results or the market price of our stock. And finally, we are not obligating ourselves to revise our results or these forward-looking statements in light of new information or future events. Also, during today's call, we will refer to certain non-GAAP financial measures. Reconciliations of non-GAAP to GAAP measures and certain additional information are included in today's earnings press release, which can be viewed and downloaded from our Investor Relations website at investors.e2open.com. And with that, we will begin by turning the call over to our CEO, Andrew Appel.
Andrew Appel: Thank you, Russell, and thanks to everyone for joining today's call. I will begin with comments on our fiscal third quarter performance and recent developments and our plan to return E2open Parent Holdings, Inc. to strong consistent growth. I will then ask Greg to update you on commercial highlights. Finally, Marje will review our Q3 results as well as our Q4 and full-year guidance. Then we will open up the call to questions. Overall, our third quarter subscription revenue was solid and up modestly versus Q2. While subscription revenue still declined year over year, the rate of decline improved as compared to the four previous quarters. While we still have work to do to realize the full growth potential of our business, I am encouraged that our strong focus on client satisfaction, implementation effectiveness, retention, and go-to-market execution is making progress in stabilizing our subscription business. I am also pleased that during Q3, we closed several strategically important subscription deals with both existing and new clients. But what continues to impress me is the global scale and the caliber of the clients who select us as their partner of choice. It is clear to me that clients choose E2open Parent Holdings, Inc. for solutions not only for their current supply chain needs but also for the opportunity to grow with us, to transform their supply chain, to the expanded use of our solutions over time, that will deliver significant economic and customer value for them through our long-term partnerships. It is also clear that demand for sophisticated next-generation supply chain solutions remains healthy. And this demand is driven by many durable tailwinds. In the quarters ahead, our goal is to build on the positive change we have made at E2open Parent Holdings, Inc. and to capture our fair share of this attractive market. Today, I am confident that the changes we are making are gaining traction and that our subscription bookings are moving in the right direction. As I have noted before, an equally important factor in E2open Parent Holdings, Inc.'s growth equation is achieving a sustainable and significant turnaround in retention. I am pleased to report that our Q3 retention results were positive and consistent with our internal targets. This continued progress follows the significant improvements we delivered in Q2. Given the multi-quarter gains we have made in this important area, I remain confident that we are past peak churn, which is a reminder occurred in Q1 of this fiscal year, and that gross retention has stabilized and is moving up towards industry benchmarks. Our clear success on the retention front is the result of the strong operational cadence we put in place around renewals, as well as our company-wide embrace of a client-centric mindset that makes delighting clients and delivering value our top priority. Historically, E2open Parent Holdings, Inc. enjoyed very strong retention. However, our performance in this vital area weakened over the past two years, and it has become a major factor in our growth slowdown.
Russell Johnson: As far as our process,
Andrew Appel: for example, we now evaluate all renewals over a certain threshold out eighteen months in advance. And have much better controls and processes on those renewals and a bias towards growing the relationships with the goal of not only returning our retention metrics to their strong historical levels or better but to continue to grow the depth of our relationships with those clients. As we make further progress, I am confident that stronger retention will become a growth tailwind next fiscal year and beyond. Now I would like to update you on our recently announced steps to broaden E2open Parent Holdings, Inc.'s management team and build on our strength as a software leader. Last month, we announced that Pawan Joshi, who was previously our EVP of product management and strategy, moved into the new role of Chief Strategy Officer. Pawan has been with E2open Parent Holdings, Inc. since 2003 and has been instrumental in building our company from a small technology startup serving a handful of clients into the scaled industry leader that we are today. He is widely recognized as a leading supply chain expert and has been a key architect of E2open Parent Holdings, Inc.'s distinctive platform that powers the operations of some of the world's leading brand owners. In his new role, Pawan and I will work together to develop and execute E2open Parent Holdings, Inc.'s strategy and key growth initiatives. Pawan will also engage deeply with our most important clients, bringing his decades of supply chain and innovation experience to bear on the challenges faced by our largest and most complex global customers. Given his deep technology background, Pawan will also serve as, quote, the voice of the client as we develop and execute our product roadmap, making sure that our innovation efforts meet the operational needs of the clients we serve. Pawan and I will work closely together in a co-innovation capacity as well. In my time as E2open Parent Holdings, Inc. CEO, Pawan has been an indispensable partner to me in designing and implementing all aspects of our transformation plan. I am tremendously excited that he is assuming this new role. We also announced last month that Rachid Lohoney has joined E2open Parent Holdings, Inc. as our Chief Product and Technology Officer reporting to me. Rachid brings an impressive track record of leading high-performing product development engineering teams at multiple global high-growth software companies such as Paylocity, Atlassian, and Intuit. In the newly created CPTO role, Rachid will have full responsibility for E2open Parent Holdings, Inc.'s product management, engineering, and SaaS infrastructure activity. He will oversee a unified organization that combines these functions under one leader to accelerate the pace of our innovation. I look forward to partnering closely with Rachid as we take a fresh look at E2open Parent Holdings, Inc.'s R&D strategy and accelerate our product roadmap. I am confident that these steps to broaden and strengthen our executive team will allow E2open Parent Holdings, Inc. to maximize the growth potential inherent in our technology. E2open Parent Holdings, Inc. is widely recognized in our industry for having built a unique software platform through years of M&A combined with in-house integration and development. We were the pioneer of the use of applied artificial intelligence in supply chain and the first vendor to achieve the network benefit of connecting hundreds of thousands of supply chain partners into a single integrated layer and network platform. Thanks to these and other innovations, E2open Parent Holdings, Inc.'s software has become deeply embedded across the Fortune 1000 universe of companies that conduct a large share of global commerce. As we move forward, our pace of innovation must continue to match or exceed the speed at which global business moves and evolves. Global companies are contending with an ever-growing list of supply chain challenges. These include the traditional ones such as port congestion, transit delays, labor disruptions, and newer ones such as compliance and trade sanctions, forced labor rules, and we now have a new US administration that promises to use tariffs and other trade policy measures to pursue economic and political goals. This will likely lead to increases in the complexity of global business. E2open Parent Holdings, Inc. solutions, which span from planning to execution, provide visibility and traceability deep into manufacturing sub-tiers and sales channels, are ideal for managing complexity and uncertainty. Today, our comprehensive product platform empowers users to quickly and holistically identify issues, assess business impacts, evaluate alternatives, and take corrective actions. And emerging technologies such as generative AI, which we are actively incorporating into our products, have the potential to make our applications even more powerful. At E2open Parent Holdings, Inc., we continue to expand our use of both traditional and generative AI to add high-value functionality to our software. Within our logistics applications, for example, we are embedding AI to help shippers make better tendering decisions by incorporating carrier acceptance rates and on-time performance history into the evaluation of carrier pricing. And in global trade, AI has many promising applications. These include unstructured processing of global trade documents, natural language-based query agents, automated goods classification, and more accurate compliance screening. We will continue to share our AI-related development work across our portfolio as we move forward. As we move forward with our growth strategy, we will continue to focus on clients. We will focus on innovations to ensure that our platform is easy to deploy, provides a fantastic user experience, and delivers performance that delights our clients and meets their most demanding operational needs. Doing so will provide a strong foundation for E2open Parent Holdings, Inc.'s growth and ensure that we remain a technology leader for years to come. Before completing my remarks, I want to add that our strategic review that we initiated in March of last year is still ongoing. As with prior quarters, we will not take questions or comment further on the review today. With that, I will now ask Greg to provide our commercial update.
Greg Randolph: Thank you, Andrew. During the third quarter, E2open Parent Holdings, Inc.'s commercial organization continued to execute our plan to return E2open Parent Holdings, Inc. to strong consistent revenue growth. Our work to accelerate bookings remains focused on improving sales productivity through sales execution, attainment, and pipeline growth. At the same time, our sales team is partnering very closely with E2open Parent Holdings, Inc.'s professional services and client experience teams to drive higher customer satisfaction and maximize renewals. Our performance in both critical areas during Q3 is further evidence of the progress we are making to position E2open Parent Holdings, Inc. for future growth. While we continue to see a trend of large deals taking longer to close, customer interest in our solutions remains extremely healthy. In what appears to be a reaction to recent headlines about the incoming US administration's trade policy, we have recently had many in-depth discussions with clients about how our logistics and global trade management applications can help them better manage the increasingly volatile environment around global business. More broadly, we continue to see our focus on delighting clients as sparking exciting new dialogues with many new and existing E2open Parent Holdings, Inc. clients about how we can expand our relationships. During Q3, we performed well on the cross-sell front and demonstrated our ability to expand the scope and value of major client relationships upon renewal of legacy pieces of business. And our sales teams utilized our broad product family to positive advantage during the quarter by closing new business across a wide variety of applications. In one particularly important third-quarter deal, we renewed a household name manufacturer of industrial equipment as a long-time user of our supply planning and collaboration solutions and also expanded the scope of our relationship, representing a significant piece of new upsell business. This global company operates in nearly two hundred countries and uses our software to manage a highly complex supply chain. Also in Q3, we cross-sold an integrated planning and supplier collaboration solution to an existing consumer goods client whose storefronts and brand logo are an iconic presence across the US, as well as internationally. This important legacy client will now implement several applications that will enable it to improve forecast accuracy, automate manual planning work, streamline collaboration with suppliers and trading partners, and reduce supply lead times and shortages. Closing these two deals alone made Q3 a successful quarter for our planning family suite of applications, which is a very competitive area due to the large number of point solution providers. Our clients place a particularly high value on E2open Parent Holdings, Inc.'s unique ability to link planning with supplier collaboration and industry-leading execution capabilities, providing a single source of truth linking forecast, supplier orchestration, and transportation to ensure a seamless flow of goods to their customers. Our strong capabilities in planning received additional confirmation during the third quarter as E2open Parent Holdings, Inc. was once again named a leader in the 2024 IDC MarketScape Worldwide Supply Chain Planning Overall Vendor Assessment. On the new logo front, in the third quarter, we added another well-known multinational manufacturer of industrial equipment to our roster of major customers. This high-value deal combines our core transportation management application with last-mile parcel capabilities and logistics support services. This new customer operates in over fifty countries with a diverse network of manufacturing, distribution, and servicing capabilities around the globe. And in another new logo win during Q3, a major consumer retail group with extensive US and European operations chose E2open Parent Holdings, Inc.'s multi-mode TMS solution to optimize planning, booking, execution, tracking, and settlement of all ocean shipments. Our industry-leading solution will allow this important new client to efficiently manage inbound container movements so that items consistently reach stores on time to meet promotion schedules and consumer expectations. Winning these new logo deals is important not simply for the current revenue contribution that they bring, but also because large firms with complex global supply chains are an ideal fit for E2open Parent Holdings, Inc.'s broad end-to-end software platform. Adding new clients of this type provides a valuable source of cross-sell opportunities for years to come. These important wins, as well as other new business that we closed during Q3, demonstrate the type of hard work and commitment to execution that are required to return E2open Parent Holdings, Inc. to strong consistent growth. They also reflect the continued healthy demand environment for E2open Parent Holdings, Inc. solutions that we see in the marketplace. Our client base, both existing and potential, clearly understands the value that can be achieved by replacing homegrown manual processes and siloed applications with a cloud-native network-powered platform. Macro trends such as supply chain complexity, ERP cloud migrations, and vendor consolidation should underpin demand in our end markets for many years to come. It is the job of E2open Parent Holdings, Inc.'s commercial team to ensure that our solutions are clearly positioned in the market for both their high functionality as well as their compelling return on investment. Looking ahead, my number one priority continues to be putting in place all the elements of a high-performing sales culture at E2open Parent Holdings, Inc. While we have seen incremental progress in growing our subscription bookings as a result of this work, we still have a significant opportunity ahead of us to further enhance our sales productivity and to improve the size and velocity of our pipeline. We are building a solid foundation for future bookings growth while also staying focused on hitting our internal retention improvement targets. It is progress in both of these areas that will drive future growth. Turning to professional services, we continue to see our PS business play a very important role in delighting our customers and supporting our long-term subscription revenue growth. During the third quarter, PS revenue was pressured by several ongoing factors. These factors include the delayed close of several large subscription deals, as well as the mix of subscription deals booked in Q3, which came with somewhat lower attached PS revenue. Also, as we noted last quarter, we completed work on several large PS projects during Q2, and the roll-off of these projects had a continuing revenue impact on Q3. Finally, during Q3, we continued to dedicate some PS resources on an unbilled or reduced rate basis to securing high-value renewals and strengthening key implementations. While the level of these investments has moderated from its Q1 peak, we still have several important client projects of this type that we will be completing over the next twelve to eighteen months. Broadly speaking, we still expect our PS organization to return to growth over time as these impacts begin to moderate. More specifically, as we catch up on closing deals that were pushed out of Q3, we expect to see some sequential PS revenue uplift in the fourth quarter. During the third quarter, we also strengthened our sales leadership in mid-market business development. This is an area of tremendous potential for E2open Parent Holdings, Inc., but our track record of adding and retaining clients in this market segment has been very mixed due to a lack of a focused growth strategy and appropriate client engagement model. It will take some time to develop our capability and take full advantage of this market segment, but I believe there is much to gain by diversifying our traditional focus on large complex customer engagements to include a consistently growing base of more homogeneous small and midsize deals. Looking forward, I continue to believe that E2open Parent Holdings, Inc. is well-positioned to accelerate growth. As Andrew noted, we have made significant progress on the retention front, and as a result, our commercial teams are able to spend more time on essential sales activities such as growing our pipeline and closing deals. Also, our work with key strategic integrator partners is gaining traction, and the list of high-value opportunities that we have jointly identified with these partners continues to grow. And in particular, I am very excited to have my colleague Pawan Joshi assuming a new client-facing role. As a long-time senior leader and supply chain expert, Pawan has a unique and invaluable ability to deeply engage with clients at the C-suite level, which increasingly is where the most strategic supply chain decisions are made. With that, I will turn the call over to Marje.
Marje Armstrong: Thank you, Greg, and happy New Year, everyone. Subscription revenue in the fiscal third quarter 2025 was $132.0 million, above the midpoint of our $130-$133 million guidance. Subscription revenue declined 0.6% year over year, which was a significant improvement compared to the Q2 year-over-year decline. This better growth performance was driven by our continued progress on retention and overall net new ARR again improving year over year and sequentially. Professional services and other revenue in the fiscal third quarter was $19.7 million, a year-over-year decline of 20.4%. As Greg mentioned, Q3 PS revenue performance continues to be negatively impacted by PS-related investments in client satisfaction and renewals, as well as certain large projects ending in the prior quarter. The product mix of Q3 subscription bookings and delays in closing subscription deals with large attached PS work put additional pressure on Q3 PS revenue. Total revenue for the fiscal third quarter was $151.7 million, a decline of 3.7% over the prior year quarter. Turning to gross profit. In the fiscal second quarter of 2025, our non-GAAP gross profit was $104.3 million, a 4.9% decrease year over year. Non-GAAP gross margin was 68.8% in Q3, versus 69.6% in the prior year quarter. The reduction in third-quarter gross margin was due to lower professional services revenue during Q3, which impacted margins in our PS business for that time period. Q3 subscription gross margin was flat year over year at 76.1%. Turning to EBITDA. Our third-quarter adjusted EBITDA was $53.6 million, a 35.3% margin, compared to $55.4 million and a 35.1% margin in the prior year quarter. Our continued strong adjusted EBITDA margin reflects our ongoing commitment to operational efficiency. Q3 G&A expenses were lower year over year due to actions we have taken to streamline non-client-facing support functions, control discretionary spend such as T&E, and further rationalize the global real estate footprint we inherited through past M&A. Likewise, we have refocused our marketing spend around a smaller set of more productive client-centric activities while incrementally investing in our sales expense line as we continue to up-level our commercial team. In R&D, we continue to achieve cost efficiencies without impacting staffing levels or R&D hours by prudently managing the onshore and offshore headcount mix within our broader development organization. Finishing on profitability, net loss for the third quarter was $381.6 million. This net loss includes a non-cash goodwill impairment charge of $369.1 million. Similar to impairments we recorded in FY23 and FY24, the trigger event for this latest impairment was a decline in our share price during the third quarter. Now turning to cash flow. Adjusted operating cash flow in Q3 was $21.1 million, and year-to-date adjusted operating cash flow was $54.7 million. Q3 cash flow improved sequentially from the second quarter, which we expected given that Q2 is typically our low point for cash generation due to normal seasonal factors. We ended Q3 with $151.2 million of cash and cash equivalents, an increase of $9.0 million from the second quarter. Our Q3 cash balance increased by $40.9 million year over year, demonstrating the strong cash generation capability of our business. This completes my remarks on our fiscal Q3 financial results. At this point, I would like to turn to our fourth fiscal quarter and full-year guidance discussion. For the fourth fiscal quarter of FY25, we expect subscription revenue in the range of $131 to $134 million, representing a decline of 2.5% to a decline of 0.3% as compared to the prior year fiscal fourth quarter. Our Q4 subscription revenue guidance incorporates a negative impact from the recent strengthening of the US dollar, which is an approximately $800,000 headwind for Q4 when compared to our full-year subscription guidance update last quarter. For FY25, we are revising the full-year guidance that we provided on October 9, 2024, as follows. We expect FY25 subscription revenue to be in the range of $526 to $529 million, representing a year-over-year growth rate of negative 2.0% to negative 1.5%. This guidance range includes $1.1 million of negative FX headwind from the last quarter when we updated guidance. We expect FY25 total revenue to be within the range of $607 to $611 million, representing a year-over-year growth rate of negative 4.3% to negative 3.7%. We are narrowing our FY25 revenue guidance range to reflect the impact of recent US dollar strengthening and weaker than expected Q3 PS revenue.
Greg Randolph: We still expect
Marje Armstrong: FY25 gross profit margin to be within the range of 68% to 70%. In line with comments made last quarter, we also still expect FY25 adjusted EBITDA to finish near the low end of the original guidance range provided on April 29, 2024, of $215 to $225 million and full-year adjusted EBITDA margin to be approximately 35%. As we execute our return to growth plan, we remain focused on running our business as efficiently as possible while continuing to prudently invest in areas that are key to achieving our top-line growth targets. We still expect to generate strong positive adjusted operating cash flow in FY25, although our lower revenue this fiscal year has incrementally impacted cash generation, partially offset by lower interest expense due to the decline in interest rates and our overall focus on cost efficiency. Consistent with our comments last quarter, we still expect second-half cash flow to be significantly higher than in the first half of the year, which is consistent with the typical seasonal pattern of our business. We now expect year-end FY25 net leverage to be around 4.1 times. The underlying cash generation capability of our business remains very healthy and continues to be a high-priority focus area for us. In conclusion, during the fiscal third quarter, we continued to make progress in repositioning E2open Parent Holdings, Inc. for strong consistent future revenue growth. Our efforts to improve retention have been a clear success, with our retention metrics once again moving in the right direction, and our customer base responding very positively to our win-win approach to client engagement and securing renewals of legacy business. Bookings have picked up in both Q2 and Q3 compared to the low point we saw in Q1 of this year. Despite the longer sales cycles for larger, more complex deals that we have experienced in FY25, improved retention and incremental progress on subscription bookings, while not yet sufficient to drive double-digit growth, are helping stabilize our subscription revenue and have moved us closer to an inflection point where our growth turns positive again, which will be a very important milestone. This progress, as well as the exceedingly high quality of the business we win each quarter, gives us confidence as we continue executing our growth plan. Before closing, I want to thank all our E2open Parent Holdings, Inc. team members for your dedication to the success of our many clients and partners. The commitment to excellence that you show every day is the foundation of our company's success. As we start the new calendar year, I am tremendously excited by the opportunity we have to create a brighter future for E2open Parent Holdings, Inc. and I am sure all of our employees will join me in congratulating Pawan on his new role and welcoming Rachid as he joins E2open Parent Holdings, Inc. We all look forward to the great things you will accomplish individually and collectively in the areas of client success and innovation. That concludes our prepared remarks. Operator, please open the line and begin the Q&A session.
Operator: Certainly. At this time, we will be conducting a question and answer session. Your first question for today is from Chris Quintero with Morgan Stanley.
Chris Quintero: Hey, Andrew, Greg, and Marje. Thanks for taking our questions here. I want to ask about subscription billings. Based on our calculation, it seems like that was up 8% year over year, and similarly, deferred revenue was up 6% year over year, and those are both pretty nice improvements from the previous couple of quarters. So just curious if there is anything you all would call out there for those two.
Andrew Appel: Hey, Chris. This is Andrew. I just wanted to say that before we got started with Q&A, we wanted to take a moment to express our condolences and support for all those that have been impacted by these horrific fires in Los Angeles, which happens to also be my hometown. So, and with that, I will pass it to Marje, I believe, for the actual questions. But thanks for the question, Chris. Good to catch up.
Marje Armstrong: Thank you, Chris. Thank you, Andrew. Happy New Year, everyone. Agreed, good improvement in billings and deferred revenue year over year. I would note that billings and deferred revenue year over year increase in Q3 was mainly driven by timing related to, you know, renewal and billing of large deals relative to prior timing. So you will see some of the timing offset in Q4 as that normalizes. But, again, good improvement. Agreed.
Chris Quintero: Got it. That is super helpful, Marje. And then maybe one for Greg here. I know you think it was back in the Q4 call, but you talked about the three new kind of growth initiatives: cross-selling, the new system integrator channel, and then driving. Can you give us a little bit of a rundown of what you are seeing and maybe stack rank those in terms of which ones are kind of seeing the earlier success so far?
Greg Randolph: Yeah. Hey, Chris. Great to talk with you. And happy New Year. Thanks for remembering what I said in Q4 of last year. And look, I think I made a couple of comments in my opening remarks about both cross-sell and new logo. We had, you know, two significant wins in both in Q3. And, you know, in terms of just how I look at the future and then obviously, you know, I also commented about the progress we are making with the systems integrators. But in the near term, we are getting significant momentum in the cross-sell motion that we implemented, and that is evident by the two wins that we had in Q3 and the pipeline growth that we are experiencing. And we will continue to laser focus on that opportunity. The beauty of the breadth of our portfolio allows us to have multiple different entry points, you know, to drive cross-sell growth for our existing client base. There is tremendous momentum in new logo North America in particular. We have a really strong team, incredibly experienced in supply chain, and they are veterans of E2open Parent Holdings, Inc. And they continue to create significant momentum. Obviously, with new logos, it is really about pipeline generation. So there is continued focus on consistently driving both the overall new and upsell bookings pipeline, but the number of transactions is another key focus. So with that, any comments from your point, Andrew, on SI progress? We are certainly making progress there as well.
Andrew Appel: We, I think we are making significant progress. Initially, as I think I have said on other calls, initially, we prioritized one of the bigger ones. And so look, let's get one right. And we have had, I think, probably gone from, like, five discussions collectively with their account teams to twenty to thirty. And so we have, and I personally have probably spoken to every industry leader and every client leader with a different partnership approach. Right? That our joint goal is to develop supply chain transformations at major corporations versus sit. I think the prior idea was that they might be an implementer of our service. And our view is, you know, we can add more value to them by helping them, you know, win large transformations in the department. That is going very well on the call the SI side. Our connect conference. We spent a couple of hours with a different SI. And agreed that this would be the year where we would have five joint client initiatives within each of four industry groups, right, that we work with. And they are already identified, and we are going to start developing account plans. And then with the big cloud providers, we are also doing the same thing. Right? We are off and running, I think, with one of the big three. Joining kind of go-to-market or whatever their particular marketplace. So we are excited about kind of the call the early pipeline. Right? The early pipeline, the joint dialogues, the proactive nature of it, frankly. Right? That we are going proactively to executives with them to talk about, you know, programs versus, like, responding to specific situations and RFPs and stuff.
Chris Quintero: Excellent. That helps a lot. Happy New Year.
Greg Randolph: Thanks, Chris.
Operator: Your next question for today is from Adam Hotchkiss with Goldman Sachs.
Adam Hotchkiss: Great. Thanks so much for taking the question. I wanted to touch a little bit more on the mid-market. You had mentioned that you had some mixed results in the past on the go-to-market there, but that is a renewed focus. Can you just talk a little bit more about what needs to happen there from a success perspective? Is this product innovation? Is it changes in go-to-market? Is it, you know, being more active with customers in that piece of the segment of the market? How would you sort of describe what needs to happen there?
Greg Randolph: Yeah. Thanks, Adam, good to talk with you. Yeah. We brought in a new leader literally about sixty days ago to run mid-market. And there is really kind of a threefold view on what we need to do there. Number one is to stabilize, you know, our renewal yield, our retention in that base of business. If you reflect back on, you know, what we have commented on around churn, is that the long tail here is a totally different motion, different set of challenges, and it is not something that, you know, we have been, you know, as effective at resolving as we have kind of the larger base of business. And so number one is, you know, continue to stabilize the quote-unquote long tail retention business. The new leader we brought in has got deep experience of doing this in an effective way today. And so that is job one. Number two is, but we have products that, you know, the reason why we created the long tail is because we have products that apply to that market. And so what we are doing is we are dedicating sales capacity for new pursuits in very specific targeted products, like global trade. As you know, from the momentum that is coming around to do with this administration in the US, there is tremendous focus on global trade. And that provides a significant opportunity for us to drive what I would characterize as volume and velocity. These are very, they are lower ASP, as you know, Adam, and we create volume transactions through targeted product sales campaigns. The other piece is in logistics. You know, with the acquisitions that we have made in the past, we had a very strong mid-market business in our logistics space, and we are creating more focus and dedicated sales capacity there. And so if you think about any, you know, successful high-growth enterprise software company, does both enterprise and mid-market incredibly well, and that is what we are looking long-term at creating this consistent momentum around kind of our low ASP, high volume segment of the market.
Adam Hotchkiss: Okay. Great. That is really helpful color. And then just on the trade policy uncertainties that you mentioned, could you just give us maybe a little bit of any examples of historical precedents around really volatile or quickly changing environments and what typical customer behavior looks like from enterprises and mid-market folks in your deal conversations? How does that inform how you are thinking about the opportunity ahead into the new administration?
Greg Randolph: Yeah. So if you think about, okay, I think in the initial Trump administration when he announced tariffs, it created obviously the need for anyone who is moving product globally to recalculate what that means to their cost of managing the flow of goods. And so, and what we have seen, you know, since the election is significant preparation by our large existing clients and several new logos to begin to start to, you know, prepare for what is to come. And, you know, if you think about our global trade platform, we have the largest reach of any provider in the market. We cover two hundred and thirty countries. No one else has the ability to do that. So we have got the broadest set of capabilities to help clients really assess the impact of what is to come. But it's clearly, there's a lot of talk, Adam, as you know. And so it's kind of wait and see what actually happens from a policy perspective, but it's creating a tremendous amount of demand for us in terms of conversations and preparation. It's also helping create new opportunities for Professional Services as well as clients engaged.
Andrew Appel: Yes. I'll just add that I think -- because I think you asked about parallel situations. And I think the best parallel, in some sense, was COVID. So COVID disrupted supply chains. It led to years of like projects related to making supply chains more effective. I think the events of kind of global uncertainty, be it risk and now administrative policy aren't going to be like quite as [indiscernible] specific. Like we just had a specific 6-month window in COVID, where supply chain -- like supply and goods and services were mission-critical in the survival of the countries. And so that propagated an immense focus on supply chain. I think what you're going to see is probably half the response over a longer period. But it's the same thing. A lot of the work is a medium term, about changing your supplier, your factory, your production structures and plans, and all that leads to having to reevaluate your supply chain when you're moving 10% of your goods raw materials from one country to another, which doesn't happen in weeks. It happens in a couple of years. 
Operator: Your next question is from Mark Schappel with Loop Capital.
Mark Schappel: Andrew, in your prepared remarks, it was noted that the large deals continue to take longer to close. I was wondering if you could just talk about whether you're seeing sales cycles lengthen from, say, the prior quarter? And also with respect to the slip deals from the August quarter, could you just speak to whether any of those deals have since closed?
Andrew Appel: I think both -- and Greg and I talk about this a lot. I would say that the length of time close period for the larger, more transformational deals is similar, lengthened, but similar. It's not getting longer, it's very similar, right? We're still in a pretty neutral to slightly positive economic environment, and so there's still a bias to spend money on supply chain. I think there's just a -- it's elevated and important, and then that always lengthen sales cycle, right? As something gets to this exec level, CEO level, then there's more people in the decision process than when it was just a decision made by IT. What was the second question again? Sorry, second half of the question.
Mark Schappel: With respect to the slip deals in the August quarter, could you just talk about if any of those deals have since closed?
Mark Schappel: Exactly. 
Andrew Appel: And so it's a very high -- once it gets to that point where we call it a slip deal, it's -- in most cases, it's just timing. I mean I'm working on one specifically that just that -- there were enough decision makers in the client that they just delayed the decision and then it goes into Christmas, and in that particular industry Christmas is a busy time, and here we are back in January, and we're relatively close to closing it, and it's a large deal.
Mark Schappel: Great. And then there are some macro signs out there that suggest the domestic trucking market may be bottoming after a long trucking recession. I was wondering if you could just talk about some of the demand trends that you're seeing in your TMS and your parcel delivery businesses?
Gregory Randolph: Yes. Thanks for the question, Mark, and good to talk with you in 2025. I think that's an astute observation, and we're seeing that. And as you reflect back on kind of the structure of our company, we've had a percentage of our revenue that is volume metric-based. And clearly, that had been under pressure. And as a result of what you're referring to, we've stabilized that part of the business, and we're starting to see growth. And in addition to that, if you think -- if you reflect back on the last 2 quarters, some of the specific wins I've highlighted have been in this space. And so we are absolutely seeing more demand for companies to better optimize their logistics and use the increase in demand on their side to create more efficiencies. And the unique offering that we provide in terms of the broad capabilities to be able to provide the TMS capability with the last-mile delivery capability and the services capability along with visibility and overall collaboration has been incredibly compelling and unique in the marketplace. And it's why we're starting to see more big wins in that space. And certainly, our pipeline is positively impacted by it as well.
Andrew Appel: Yes. The only thing I'd add, and, Greg, again, correct me if I'm wrong. But I think in times of volatile pricing, which is what's been going on in the trucking market. Our kind of model of being the carrier got -- shipper-centric, right, is quite valuable, right? And so there's more, call it, opportunity to run an efficient and effective shipping function. And so in those periods of high pricing volatility, we see more demand for advice and services and so forth. Because we're not tied to, again, in our -- in that part of the business, we're not tied to the volume or the price. We're tied to providing the best solution for each shipment.
Operator: We have reached the end of the question-and-answer session, and I will now turn the call over to Andrew Appel for closing remarks.
Andrew Appel: We just want to -- I think, want to say thank you for taking the time with us this morning. A big shout out to the team at E2open, that continues to work extremely hard on a variety of things. We have a new leadership team and the leadership teams have a tendency to create a lot of new initiatives. So we have people simultaneously focusing on retention, significantly new material retention processes, while at the same time, holding them accountable to grow bookings. And so -- but we're excited about our progress. Nothing is ever fast enough as a CEO. So we'd love it to be happening faster. But we feel like across the spectrum of initiatives, particularly this year -- this past year has been around operating priorities. And the next year is going to be around kind of investments and strategic priorities, and we're super excited. And Rachit joining us, who has a lot of deep experience and kind of transformational product development, and that Pawan is now our Chief Strategy Officer. He's going to help us set our direction. So the combination of the two is going to be really powerful.
Operator: This concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation.